Operator: Good morning, ladies and gentlemen, and welcome to Comcast Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please note, that this conference call is being recorded. I will now turn the call over to Senior Vice President, Investor Relations, Ms. Marci Ryvicker. Please go ahead, Miss Ryvicker.
Marci Ryvicker : Thank you, operator and welcome everyone. Joining me on this morning's call, are Brian Roberts, Mike Cavanagh, Dave Watson, Jeff Shell, and Jeremy Darroch. Brian and Mike will make formal remarks, and Dave, Jeff and Jeremy will also be available for Q&A. Let me now refer you to slide 2, which contains our Safe Harbor Disclaimer, and remind you that this conference call may include forward-looking statements, subject to certain risks and uncertainties. In addition, during this call, we will refer to certain non-GAAP financial measures. Please see our 8-K and trending schedules for the reconciliations of these non-GAAP financial measures to GAAP. With that, let me turn the call over to Brian Roberts for his comments. Brian?
Brian Roberts : Thanks Marci and good morning everyone. Really proud of our fourth quarter results and look forward to giving you a glimpse of what we’re focused on and excited about once we come out of this pandemic. Our most recent performance was highlighted by Cable which grew EBITDA by over 12% and net cash flow by 26%. These are the best results of the year and that of any fourth quarter in over a decade.  We also have good news to share on our Park segment which reached breakeven excluding Beijing, even with Hollywood being closed. Our premium ad-supported streaming service Peacock now has 33 million sign-ups within just six months of its nationwide launch. And encouragingly [indiscernible] customer and revenue base essentially return to pre-COVID levels this past quarter.  Clearly, our company has strong testament to the tough decisions made by our leadership team and the excellent execution and coordination by our dedicated employees. Looking back over the whole year, 2020 was one of the most uncertain and challenging periods that any of us can remember.  But we rose to the occasion, ensuring the safety and protection of our employees, providing customers with unparalleled service and innovative products that they relied on more than ever, strengthening our investment grade balance sheet and continuing to invest for long-term growth and success.  This year's Cable results were nothing short of exceptional, hitting a number of company records. We generated 2 million net broadband additions for the year, and 538,000 for the fourth quarter, reaching record low churn. High speed internet drove our highest ever full year net customer relationship additions of 1.6 million, bringing us to 33 million total customer relationships. Yet with just only 50% penetration of our footprint, there remains plenty of opportunity for future growth.  We also delivered outstanding EBITDA growth of nearly 9% and cash flow growth of 16% all of 2020. Broadband is the cornerstone of what we do, powered by our robust, flexible and reliable network. And many years of investments we've made have been on full display.  We've continued to enhance our market leading competitive position, while keeping people connected, protected, informed and entertained by proactively managing our network, increasing broadband speeds, expanding our internet essentials program for low-income households, providing payment plans for customers struggling the most, and offering Peacock and Flex for free.  This pandemic has forced us to rethink the way we operate and service our customers. Immediately, we moved all of our care reps to work remotely from home, which has gone so well that we're leaning towards embracing this model permanently. In addition, we promoted further adoption of our digital self-help tools such as Xfinity Assistant, which are available 24x7.  We also expanded our self-installation eligibility. And now over two thirds of our customers are connecting to our services this way. We are working hard with our communications and marketing efforts to enhance awareness, all we have to offer, which enables us to take costs out of the business, while delivering a better experience for our customers.  In fact, in the past 12 months, we've reduced agent handled calls by over 16 million, and truck rolls by 1.6 million, all while adding more than 1.5 million net new customer relationships. Our efforts to reduce costs have been extremely successful. But what's even more exciting are the investments we're making to grow the overall business. The great example is Flex, which is offered to all of our broadband only customers for free, so that they can connect seamlessly to the streaming services they love.  Within the first half of this year, Flex along with X1, will be carrying all of the top streaming apps in United States. We just added HBO Max, we'll be adding Disney Plus in the near future and we have many more on the roadmap. Flex has been a major win for us and we continue to have really high hopes.  Xfinity Mobile just came off a strong fourth quarter with nice sequential improvement in customer additions, resulting from a number of significant changes as we fully integrate mobile into our core Cable operations and reprioritized our sales channels. We're really excited for 2021 as we've recently expanded parts of our MVNO agreement with Verizon that will enable us to improve our range of offerings and acquire more customers more profitably. As we said from the beginning, an MVNO led capital-light wireless model is the right one for us and has even more strategic opportunity in the years ahead. Business services came back faster than we expected. This quarter, we added 26,000 net new customers and generated revenue growth of 4.8%, the highest we've seen since the pandemic began. With less than 20% share of an approximately $50 billion total addressable commercial market in our footprint, we saw plenty of runway. All-in-all, Cable had a fantastic 2020 and we look forward to a very strong 2021 and beyond. While the global pandemic has had a more significant impact on NBCUniversal, we took advantage of this moment to make a number of changes in both management and operations which sets us up for success.  The most notable example, is the reorganization of our Cable Networks and Broadcast Television businesses, which are now combined along with Peacock in a structure meant to drive long-term cost efficiencies and revenue opportunities. We finished the year having renewed a number of carriage agreements with many of our valuable distribution partners, putting us in a position of strength, as we enter 2021.  Peacock has had an exceptional start, exceeding all of our internal targets. This premium hybrid AVOD service, which has a light ad load and is unlike any other, offers a breath of content that appeals to just about every demographic, at an unbeatable consumer value, much of it for free. Momentum has further accelerated with the addition of the Office, which we own and began streaming exclusively on Peacock as of January 1.  Not only is the Office driving incremental users, but these viewers are naturally finding and watching other programs on this platform like Parks and Rec, Yellowstone, our latest original Saved by the Bell, mega hit movies from Universal and other studios, and sporting events such as the Premier League, Golf and even an NFL Wild Card game. And earlier this week, we announced that Modern Family will be coming to Peacock next month, followed by the WWE in March.  In Film, our decision to release our titles direct-to-consumer via premium video on demand when theaters were forced to close has proven to be profitable and the right move for us. While we look forward to when we can enjoy the theatrical release of many franchise films such as Fast 9 and the next Minions and Jurassic World, we will lean into what has become a successful hybrid distribution model.  COVID had the most direct impact on our theme parks, which were either closed or running at limited capacity for the bulk of 2020. But I'm pleased with how quickly we were able to reopen Orlando and Osaka while ensuring the safety of our staff and guests. We continue to provide an amazing entertainment experience. Our guests are responding as confirmed by our steadily increased attendance and our most recent financial results.  What we saw this fourth quarter, especially in Orlando, gives us even more conviction in the momentum that our theme parks will experience when we reach a sustainable recovery. We may experience some near-term setbacks with the most recent pick up in COVID cases, but I'm optimistic as ever about the long-term trajectory of this very special business.  Sky had a strong and encouraging fourth quarter. We added net new customers in every market, bringing our customer base essentially back to pre-COVID levels. The same can be said for revenue, which was essentially flat from what we generated in the fourth quarter of 2019. While we continue to make meaningful progress on our strategic initiatives, Sky Q which integrates streaming, has surpassed 60% penetration in the UK, and is poised to continue with recent additions of Disney Plus, Discovery Plus and Amazon Prime video.  We're really pleased with the success of Sky Originals, which contributed to the 20% increase in viewership on our Sky Entertainment channels during the fourth quarter and all of 2020 reaffirming our commitment to creating Sky Studios and expanding original programming.  While the recent wave of COVID infections and related lockdowns across Europe are once again creating disruption, we're implementing the same protocols and procedures that work the first time around. We've confidence of a similar pattern as this latest lockdown recedes.  We really look forward to the second half of this year when we will also start to see the benefits from the reset of major sports rights contracts and cost savings that should result from a new, leaner operating model. And we're still on plan to double 2020 EBITDA over the next several years, as Jeremy recently laid out.  Speaking of Jeremy, I want to thank him for his exceptional leadership of Sky and for his partnership since the acquisition. He and the team have established a unique world-class brand and a strong, well-run business that's now fully integrated. I'm thrilled for Dana Strong, who has now taken over as CEO of Sky.  Many of you on this call have met with Dana since she joined our Cable business as Head of Consumer Services back in 2018. She is an accomplished executive with a wonderful ability to transform, inspire and drive positive change. On top of all that, she also has over 20 years of international experience with near half of it’s been in Europe.  2021 offers a lot of promise for Comcast and hopefully for the entire world. While the first half will be more challenged than the second due to the most recent strain of COVID, we’re really encouraged by the promise of the vaccine which is the first step in putting the parts of our business that have been most impacted back on the path toward growth.  This optimism is shared by our Board of Directors which this morning announced an increase in our dividend of our 13th consecutive year. I'm also pleased it is now our expectation that we will return to repurchasing shares in the back half of this year.  While 2020 was not what any of us had imagined a year ago with this time, our execution, cooperation and fast decision making enabled all parts of Comcast, NBCUniversal and Sky to respond and manage through a difficult environment remarkably well. I'm truly proud of what we have accomplished and our fourth quarter shows just how well this company is positioned to succeed.  Mike, over to you. 
Mike Cavanagh: Thanks Brian and good morning everyone. Now I’ll review our fourth quarter 2020 results and make some comments on current conditions and where possible on the year ahead. Let’s begin on slides four and five with our consolidated results.  Revenue declined 2.4% to $27.7 billion for the fourth quarter, and 4.9% to $103.6 billion for the full year. Adjusted EBITDA declined 15% to $7.2 billion for the fourth quarter and 10% to $30.8 billion for the full year. COVID related severance and restructuring charges were $590 million in the fourth quarter and $828 million for the full year as we took actions to position our businesses for success in a post COVID world.  The corporate and other segment includes these charges and also includes Peacock for its launch year. For 2020, Peacock generated revenue of over $100 million while EBITDA losses approached $700 million. We continue to expect that EBITDA losses for 2020 and 2021 combined for Peacock will total roughly $2 billion.  Adjusted earnings per share declined 29% to $0.56 for the quarter and 17% to $2.61 for the year. Finally, free cash flow was $1.7 billion in the quarter and $13.3 billion for the full year reflecting the decline in EBITDA and the benefit from the reduction in working capital and capital expenditures in part due to the pandemic.  Now to review our business segments, starting with Cable Communications on slide 6. For the fourth quarter, Cable Communications revenue increased 6.3% while EBITDA increased 12% and adjusted EBITDA led capital grew 26%. For the full year we grew customer relationships by 1.6 million a 41% increase year-over-year with 455,000 net additions in the fourth quarter, driven by high-speed internet where we added 2 million net new residential and business customers this year and 538,000 in the fourth quarter.  These record customer additions were the primary driver of our high-speed internet revenue growth of 13% for the quarter and 10% for the full year. Other revenue highlights include acceleration in both business services and wireless. Business services posted 4.8% revenue growth and 26,000 net new customer additions primarily driven by improvement in small businesses. Wireless revenue grew 36% with 246,000 net new lines in the quarter bringing up to 2.8 million total lines at year end.  Wireless is a strategic priority for us and should accelerate on the back of several actions we have taken. First, we’ve expanded our Verizon MVNO agreement. Second, we fully integrated mobile into our core operations and third, we’ve refined our marketing and activated all of our sales channels and we’re seeing a nice lift in our retail stores which are now fully opened.  For Video, revenue declined 0.7% with higher rates implemented in the beginning of 2020 more than offset by subscriber declines including a 248,000 net loss in customers this quarter. And advertising revenue increased 34% year-over-year or 2.2%, excluding political, which almost doubled what we generated in the last presidential election cycle in 2016.  Turning to expenses, Cable Communications fourth quarter expenses increased 2.4%. Programming expenses were up 7.2%, primarily due to the number of contract renewals that started to cycle through in 2020 combined with annual escalators in existing agreements.  Non-programming expenses declined slightly reflecting lower technical and product support and customer service costs, which were partially offset by higher advertising, marketing and promotion spend to drive top-line growth and higher expenses associated with the increased political advertising activity this quarter. Non-programming expenses per customer relationship decreased 5.1% despite our record customer growth. Cable Communications EBITDA grew by 12% in the quarter and 8.6% for the full year, with margins reaching 42.1% and improvement of 170 basis points excluding the RSN adjustments that impacted results earlier in the year.  Cable capital expenditures decreased 1.1%, resulting in CapEx intensity of 13.5%. For the full year, capital expenditures declined 4.4% resulting in CapEx intensity of 11%, our lowest full year on record and an improvement of 100 basis points year-over-year exclusive of RSN adjustments, driven by lower spending on customer premise equipment and support capital partially offset by higher spending on scalable infrastructure, which was driven by our ongoing investment to enhance the capacity of our network to support increased data usage.  Turning to the current environment, high speed internet customer additions remain healthy and we have all the pieces in place for 2021 to be a very strong year. We also have to remember that 2020 was exceptional on many accounts. And because of that, we view 2019, which was also very strong for us as a more appropriate year against which to benchmark our performance.  Turning to video, we expect the higher video rates we implemented at the beginning of this year, resulting from our current programming renewal cycle to drive video sub losses back to the levels we’d experienced in the first half of 2020. Our video strategy is centered on profitability. We do not chase unprofitable video subscribers, as we can now offer Flex for free to those who prefer a streaming only entertainment option.  Looking to the full year, we expect Cable Communications revenue growth to exceed the 3.4% we just reported for 2020, as we remain focused on driving our connectivity businesses with better year-over-year comparisons in the first half. We expect programming expense growth to increase at high-single digit levels similar to the fourth quarter, as programming carriage renewals roll through in 2021. The program expense growth is expected to moderate in 2022 and thereafter.  Non-programming operating expense growth should normalize at a low-single digit increase to 2019 levels, as we support the higher level of customer relationships and accelerate growth in our wireless business, which we expect to achieve standalone profitability in 2021.  With our consistent discipline on expenses and capital investment, coupled with the trends at work as we remain focused on connectivity, we are confident in our ability to increase profitability, expand margins and improve CapEx intensity, both in 2021 and thereafter.  Now let's turn to Slide 7 for NBCUniversal. For the fourth quarter, NBCUniversal revenue decreased 18% to $7.5 billion and EBITDA decreased 21% to $1.6 billion. Cable Networks revenue was down 6.4% in the fourth quarter, driven by a 38% decline in content licensing and other revenue, while distribution revenue was flat compared to a year ago, reflecting the absence of carriage renewals, combined with modest sequential improvement in subscriber losses.  The delay to the start of the NBA and NHL seasons had a negative impact on our advertising revenue, which declined 4.2% while the related shift of sports rights amortization out of the quarter was a benefit to the EBITDA which grew 22% year-over-year. For the full year, Cable Networks EBITDA increased 4%, primarily driven by the sports related impacts of COVID.  Fewer sporting events in 2020 contributed to lower distribution and advertising revenue, as well as lower programming and production expenses of $655 million year-over-year. Seasons were shortened earlier in the year, and current seasons were delayed, pushing a number of events and the related rights amortization costs to 2021.  So, looking to 2021, we expect healthy distribution revenue growth as a result of recent successful carriage renewals. We also currently expect significantly more sporting events compared to 2020, which would result in higher advertising revenue, but also a significant increase in sports related programming and production costs, equating to a low double-digit decline in Cable Networks EBITDA this year.  Turning to Broadcast, revenue decreased 12% in the fourth quarter, due to a 39% decline in content licensing, and a 9.6% decline in advertising revenue, partially offset by another quarter of double-digit increases in retransmission consent fees. The content licensing revenue declines at both Broadcast and Cable Networks were timing related, as sales to streaming platforms including Peacock were more heavily concentrated in the first nine months of the year.  We also had a difficult comparison to a significant library deal in last year's fourth quarter. The decline in advertising revenue was driven by lower ratings, partly due to the delayed launch of our ball season. This was somewhat offset by record levels of political advertising at our local stations. The lower revenues were partially offset by a decline in operating costs, reflecting lower content licensing, and the delay in production due to COVID-19 resulting in a decline of 24% to $356 million in Broadcast EBITDA.  Filmed Entertainment revenue declined 8.3% and EBITDA increased 65% to $151 million for the fourth quarter. Theatrical revenue declined 70% due to theaters being either closed or operating at limited capacity. While content licensing increased 23%, driven by PVOD. Expenses were significantly lower due to fewer releases as a result of COVID-19. In 2021, we hope to debut a number of our franchise films in theaters, such as Fast9 and Minions 2, but the situation remains fluid and we're still adjusting our 2021 place to maximize value, as evidenced by our recent decision to push back the release of Boss Baby 2 from March to September. Theme Parks revenue was $579 million in the quarter with an EBITDA loss of $15 million. These results reflect Universal Orlando Resort and Universal Studios Japan, operating at limited capacity, while Hollywood remains closed. Results also include $45 million of Universal Beijing pre-opening costs.  For 2021, keep in mind that the first quarter tends to be seasonally light in terms of attendance. And we also expect an increased COVID impact given new restrictions in Japan, which have also caused us to delay the opening of Super Nintendo World. We are pleased that University Beijing remains set to open this summer, with pre-opening costs ramping to $300 million in the first half of this year.  One last item I'd like to highlight, we will be changing the way we report for NBCUniversal starting in the first quarter of 2021 with a largest impact being to our television businesses, as we combine Cable Networks and Broadcast into one segment along with Peacock. Now let's turn to slide 8 for Sky, which I'll speak to on a constant currency basis. Sky revenue for the fourth quarter declined 0.9% to $5.2 billion, reflecting a 2.8% decline in direct-to-consumer revenue, driven mostly by our hospitality or pubs and clubs segment, which was challenged by additional COVID related lockdowns during the quarter. Excluding hospitality, direct-to-consumer revenue was essentially flat year-over-year with solid low-single-digit growth in the UK. Somewhat offsetting the decline in direct-to-consumer revenue with a 10% increase in content revenue as we monetize our original programming. While advertising revenue grew 3.9% as Sky outperformed a challenge advertising market helped by a strong performance in the U.K.  Sky added 244,000 net new customers in the quarter, bringing us essentially back to pre-COVID levels of total customer relationships with additions in all markets, driven by a very healthy streaming business. We've also seen strong uptake in our broadband and mobile products in the UK.  Sky EBITDA was $139 million as the fourth quarter was impacted by a number of expense items, such as incremental sports rights amortization related to the shift of sporting events that have been delayed as a result of COVID-19, higher investments in entertainment programming, costs related to the launch of our new Sky channels last May, as well as higher marketing spend to promote strategic initiatives such as Sky Q, growth in our mobile product in the U.K. and broadband in Italy.  Looking ahead, we would characterize 2021 as a tale of two halves, the first half is under pressure due to the recent increase in COVID related restrictions to the extreme levels we experienced at the beginning of the pandemic. With the government mandating the closure of pubs and clubs, as well as many retail outlets, we are experiencing weakness in hospitality and advertising, and we now expect Sky’s first quarter revenue to decline slightly year-over-year.  We also expect first half expenses to be elevated when compared to 2020 as higher sports right amortization resulting from sporting events being postponed from 2020 to 2021 will be with us through the second quarter. In non-sports related costs, we’ll see an increase as we grow broadband and mobile in the UK, broadband in Italy and launch the SMB business in the U.K. later this quarter.  In the second half of 2021, we expect a quick recovery in hospitality and advertising revenue once these latest restrictions are lifted and an acceleration in EBITDA growth from the tailwinds related to our major sports rights’ resets and more efficient operating structure.  I'll wrap up with free cash flow and capital allocation on slide 9. We generated $13.3 billion in free cash flow and paid $4.1 billion in dividends to our shareholders in 2020. Consolidated total capital, which includes CapEx as well as software and intangibles, decreased 6.4% for the year to $11.6 billion, while working capital improved by $2.2 billion to a decline of $178 million for the full year, both reflecting an impact from COVID.  Looking to 2021, we anticipate total capital will remain relatively flat to 2020 levels, while the working capital drag will increase relative to the levels we saw in 2019, which is the more appropriate comparison, due to an increase in content investment, our broadcast of the Olympics and the reversal of COVID related one-time tax deferrals.  Turning to capital allocation, our strategy has always been a balance of several important priorities, maintaining a strong balance sheet, investing in profitable organic growth and returning capital to shareholders. First, on our balance sheet, we've made great progress reducing net debt from a $108 billion post the Sky acquisition at the end of 2018 to $90 billion at the end of 2020.  Second, we remain focused on organic investment in our businesses to grow the long-term earnings power of the company, including our CapEx investment in Broadband and Parks and continued investment behind other growth initiatives where we see strong return on investments such as Xfinity Mobile, Peacock, Flex, Sky Q and Broadband in Italy.  Third, we are committed to returning capital to shareholders through dividends and buybacks, and we have a proven track record. We have increased our dividend 13 years in a row at a 17% CAGR significantly in excess of the S&P over that same time period. In addition, we have a demonstrated history of buying back stock, having reduced our share count by nearly 20% between the NBCUniversal and Sky acquisitions.  In 2021, we believe we will be able to return to our historical practice of returning ample capital to our shareholders. We are again raising the dividend by $0.08 a share to a $1 per share, and we are planning to return to buying back our stock. As Brian mentioned, our hope is to start in the back half of this year, gradually ramping up to historical levels while we continue to pace towards hitting our intended target leverage levels, which we currently expect to reach by year end 2022.  The specific timing and magnitude of our buyback activity will be subject to improvement in our businesses most impacted by the pandemic and the implications related to potential changes in tax policy. So, thanks for joining us on the call this morning.  And I'll now hand it back to Marci to handle Q&A. 
Marci Ryvicker : Thanks, Mike. Regina, let's open the call for questions please. 
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Ben Swinburne with Morgan Stanley. Please go ahead.
Ben Swinburne: Thank you. Good morning. One for I guess, Brian, and Dave on Cable, and then one for Jeff on NBC. So obviously, really strong customer metrics in 2020, particularly on the broadband side. And I was curious, when you look at what transpired last year in terms of the increased demand for the product, and also how you guys operate in the business. What are the things that you think are COVID-specific versus durable?  I mean, I know you talked about 2019 as the benchmark year. But as we think about the longer term, how do you look at last year's performance and some of the specific drivers in terms of their durability beyond the pandemic? And then for Jeff, you guys laid out, I realized this is prior to your elevation as CEO, I think 30 million to 35 million active accounts on Peacock by ’24.  I know signups inactive accounts are different metrics. But it seems like you're nicely ahead of that trajectory. Can you just sort of reframe the opportunity with Peacock for us today versus kind of the initial outlook and when might revenues become kind of material to NBC for that business? Thanks, everyone.
Dave Watson: Well, Ben, this is Dave. I'll kick off on the Cable side. I think it starts with the main point that we've had great momentum in Broadband for many quarters now well before COVID. There's been real strength in the category for us, and I think if we point towards the fundamentals of Broadband, and the fundamentals have been very consistent for us.  And it starts with the market, the market is growing we're taking share. And the sources are geographic all over the country where we serve and across the board competitively, with DSL sources, telco wired, wireless, and other competitors. So, I think, while they're in '20 truly an exceptional year from performance.  And as Brian said, I think the right way of looking at '20 you got to look at the full year results. And when you do that the 2 million net customer additions, it really is extraordinary. Fundamentals that we see going forward, low churn. We compete well on the front end, because we've consistently invested in the best network in the marketplace. And I think that is ubiquitous.  We deliver the best overall service, redefine the category in speed, coverage, control, and now streaming. And so, you add up all those things, I think it points towards strong organic growth. But as you look to next year, as Mike said, we do have a healthy start to the year. We're really encouraged what we're seeing right out of the gates.  But I do think 2020 as everybody went home and there is just a lot more in a short period of time, folks that were working from home, schooling from home, I think there's -- that's a unique moment. But I think the fundamentals continue. We have penetration upside. There's growth opportunities that we believe strongly. I think '19 was a very strong year, too by the way. I think that is the right one to look at as the best benchmark on a go-forward basis.
Operator: Our next question will come from the line of Jessica Reif Ehrlich with Bank of America. 
Dave Watson: Hey Ben. So, Peacock obviously is primarily an AVOD service. And we have a number of metrics, the one that we that Brian and Mike talked about today is signups with loops every quarter which we reached 33 million this week. People sign up then they use it actively and then the usage per user that drive the amount of hours we saw on advertising.  And we are up significantly over all of our metrics versus what we anticipated going into the business. We are only, we launched this on Comcast just over nine months ago and nationally just over six months ago, so we’re at the very beginning of this business. But we are very confident based on the small amount of time that the business model has adapted the right business model, people are signing up, they are using what we have expected. And advertisers are very interested in buying it.  So, this steady growth is very promising for us and we don’t have anything to reframe at this point, but I think that the performance that is much better than we expected, give us a lot of optionality going forward. But we're just going to continue to drive this business model now and focus on the advertising revenue. 
Ben Swinburne: Thank you. 
Marci Ryvicker: Thanks, Ben. Regina, next question, please.
Operator: Our next question is from the line of Jessica Reif Ehrlich with Bank of America. Please go ahead. 
Jessica Ehrlich : Thank you. I also have two questions. First, on NBCU. Can you talk about the kind of the timeframe and where you'll see the benefits of the restructuring? And within that, like, what is the long-term view of Cable Networks, will it be at all eventually be in Peacock? And on the Cable side, several of you mentioned I think Brian, I think all of you mentioned the benefits of the new Verizon MVNO deal. Where will that show up, will it be in revenue, additional services? What's the timeframe for that as well? Thank you.
Brian Roberts : Jeff, you want to start? 
Jeff Shell : Yes, thanks, Brian. Hi, Jessica. So, we view, obviously, our television business as a whole. As Mike says, we're going to redo how we report starting next quarter. And we view the whole television business as a whole. And while our restructuring definitely took a lot of cost out of the business, which you're starting to see in the numbers. The real purpose of it was to allow us to grow in the future and really run it as one business.  So, Cable Networks obviously are a big part of the business, they're still the biggest EBITDA driver. And I don't expect that to change anytime in the near future. But we're looking at the two revenue streams of the business, its subscription and advertising as one business, Broadcast, Cable and Peacock. And we're programming it as such, we're selling it to advertisers as one platform as such.  And so, I think over time it'll be harder and harder to distinguish between the profitability of Cable Networks and the rest of our television business because we're looking at it as one business. But the restructuring allows us to run it like that and we think that that's going to allow us to really grow the business over time.  Dave, you want to take on wireless?
Dave Watson: Yeah. Hi, Jessica. So, we've been really pleased with the relationship of Verizon, we had a great partnership and glad that one important aspect of things is that improved MVNO. Brian mentioned, the capital light approach is working for us, we think is going to work in the future.  So, I think as a starting point certainly will enable us to amplify what we're already doing, really push towards a range of offers that keep us very competitive. We continue to grab switching share and the mobile space. But you back up for a second and we're just overall, we have been pleased and we're very optimistic about the mobile business and what it will do.  In particular, continues to perform very well for broadband retention. And so, we're committed to accelerating growth in mobile. And we mentioned this last time. And while the MVNO enhancement will be a nice step forward, there are a lot of other things that we're doing like, really going after every single sales channel that we have. We reopen retail in a safe mode, new safety protocols and every single sales channel, whether it's digital, all centers, you name it, we're really focusing on mobile.  So, we're also leaning into 5G. We'll participate very much in 5G and we're featuring mobile in packaging, with broadband, leading in some cases when there's a new product, NPI, whether it's Apple, Samsung, we use that moment to literally lead with mobile. So, I think overall, we're real pleased. And I think we feel good about the runway.  I would also point towards our overarching plan that one, we have access to I think just the country's best network, with Verizon. And so, we talked about that. I think we also are leveraging -- continue to leverage Wi-Fi. And we're -- we've always uniquely provided a great experience, not just in the home, we're improving things outside in the public area.  And then over time, I think the key thing too is being able to add a third layer, which could be our own targeted wireless infrastructure which we might use to supplement the Verizon network and really go after the high dense usage areas, spectrum that we've already acquired. So, I think all these factors point towards particularly a unique opportunity for us. 
Jessica Ehrlich: Thank you. 
Marci Ryvicker: Thank you, Jessica. Regina, next question, please. 
Operator: Your next question comes from the line of Doug Mitchelson with Credit Suisse. Please go ahead. 
Doug Mitchelson: Thanks so much. If I can just follow-up on wireless, when you said that you can improve the range of offerings to more customers as part of the new MVNO, can you address business customers now with your wireless service? And perhaps you could before but any clarification on that? And what are the new offerings and where the new customers that you can address as a result of the changes to the MVNO?  And then, Brian, not to put you on the spot, but any thoughts on the Olympics and its likelihood and potential benefit to Peacock or the rest of the operations? Thank you. 
Brian Roberts : Well, I think on the wireless question, I think this is the beginning of the year. So, I think we'll have more to report as the year goes on. We're going to follow-up on what Dave just said, but we think including some offerings to businesses. But it's early in the year, so stay tuned.  But I think what we wanted to convey today is that the piece parts are in place, and that we have momentum, and it's a strategic part of our bundle, as Dave just said, in terms of reducing churn and also driving us toward breakeven and profitability. And if this was -- these were important elements to get right. So, I would say more to follow. And the question about Olympics is what, will it happen? Or be a bit more specific, if you don't mind, Doug?
Doug Mitchelson: Yes, sorry, Brian. I guess there's some concern out there as whether or not the Olympics will happen. And I know, it’s sort of important for driving your businesses and it was something you were excited about in terms of marketing Peacock last year. And as you've taken a step forward in Peacock and had some initial success, how do you think about using Olympics as a vehicle to drive usage and awareness of Peacock?
Brian Roberts: Yeah. Understood. Well, first of all, I want to echo what Jeff said, really pleased with how fast Peacock has exceeded this year, even without the Olympics that we had hoped for and that was going to be the big launch moment. So, I think the team is doing an outstanding job and giving us the best start that that I think everyone would want to have an even better than that, perhaps. So that gives us just great expectations for the future. So, sitting here today, I believe there will be in Olympics. I hope it'll be in Olympics and I think that's our best intelligence at this time. And we're excited about that. I think it can be done in a variety of ways, as we've seen sporting events all over the world take place from Premier League to the NFL, and many others with limited spectators, no spectators or wherever the world may be in Japan in July. That'll be up to the host country and host committee.  If in the event, it doesn't happen, we have another Olympics coming in Beijing, seven months later or so. So, I don't know Jeff, do you want to add anything to that but we're very hopeful and believe that they'll find a way to safely and successfully have the Olympics, which for us is a television event and would be an amazing moment for the world to come back together post what we've all globally been through, which is so unprecedented. So, we're super hopeful and optimistic.
Doug Mitchelson: Thank you.
Jeff Shell: Yeah, I guess…
Marci Ryvicker: Yeah, go ahead, Jeff.
Brian Roberts: Go ahead.
Jeff Shell: No, I was just going to add to what Brian said. I think advertisers also are optimistic that the Olympics are coming and continue to pace. I think last earnings call I said, we were up over where we were a year ago when we thought the Olympics would be a year ago, that gap has grown even further as advertisers kind of jumped in to buy.  So, anything can happen in this COVID world. We don't know what's going to happen, but we're pretty confident that Olympics is going to happen, and advertisers are kind of jumping in and agreeing with Brian’s sentiments.
Doug Mitchelson: Thank you. 
Marci Ryvicker: Regina, we're now ready for the next question. Thanks. 
Operator: Your next question comes from a line of Phil Cusick with JP Morgan. Please go ahead.
Phil Cusick: Hi, guys. Thank you. Thanks for the buyback commentary. Should we still look at 2.5 times trailing 12 months EBITDA for test for buybacks? And can you remind us what the year-end '22 target is? And then Mike to confirm your comments on margins and capital intensity, I think you're guiding to Cable margins, capital intensity improvements versus 2020 but not giving a level.  I assume that's against reported numbers, despite all the moving pieces. Can you give us any sort of direction on that level and why not guide this year versus previous years? Thanks.
Mike Cavanagh : Sure Phil, it's Mike and, Dave -- I'll do the second one first. I think Dave gave plenty of color in terms of as well as I think in the earlier comments about the activities of the Cable division in terms of focus on expenses, locking in programming renewals, which and just driving the business towards connectivity, and wireless towards profitability.  And all those factors, come together and when you look at the long-term [Indiscernible] a business including our comments is that, we are confident in our ability to increase profitability, expand margins and improve capital intensity not just in 2021 and that is versus reported 2020 numbers to your question.  But really thereafter, I mean, I think the business is set up for that, for the long-term horizon beyond just the year ahead. So, calling out specific numbers, I think is of less utility frankly than giving you the broad backdrop that gives you the long-term lens through which you can judge all those pieces. But we're quite confident that all those things coming together expenses plan and efficiency on the capital side, combined with innovation and focus on connectivity allows us to give that outlook that of improving margins and capital intensity looking out ahead.  In terms of -- Dave, I don't know if you have anything to add there? 
Dave Watson: Yes, I think the focus of us really going after margin capital intensity improvements, that's not going to stop, starts with connectivity, and building customer relationships in a profitable way managing this video transition, like we're doing. And extreme focus around expenses that we in a healthy way, Mike talked about, Brian's talked about just taking a lot of transactions out.  Our digital focus and self-install kits, these are things that I think are very durable, that'll go beyond what we're dealing with in this environment. I think we learned a ton. And we'll continue to operate the business in a unique way. So, I think you look towards those kinds of activities the amount of SIK, today two-thirds of the transactions that connects or that way, and then three quarters of our digital capable transactions are being completed through our digital tools.  We're going to continue to focus on all those things that just drive non-programming cost. And so, we'll stay focused on all of that.
Mike Cavanagh : And then, just elaborating I think earlier comments really covered it all on buybacks, but I'll just expand a bit. I mean, obviously, we've been talking Brian and I and the team for a while about our desire to get back into the historical balance on capital allocation, which as you know is even the balance sheet strong, making healthy investments in the organic growth across our businesses which I think from listening to the call today.  Anyone would, I hope gather that we continue to be very lean -- very much leaning into doing that where we see returns and opportunity to make investments in these businesses for growth. And then get back to our balance with complete capital return. You know, it's the 13th year we've increased the dividend, but we turned off buybacks for a while and want to return to being in that portion of the return element as well.  So, as I said, we're pleased with where the balance sheet is. We've gotten net debt down to $90 billion from $108 billion after Sky. Just the evidence that we're seeing in Parks in the fourth quarter, we were breaking as the Beijing pre operating cost, even with Hollywood closed and even with capacity constraints, just gives us a high degree of confidence that when people can return to travel on the other side of vaccinations, outpacing the virus, that we're going to see the COVID impacted EBITDA businesses snap back to historical levels.  To your point, it's going to take 12 months for it to run through and get it fully back, hence our point that, in the second half of this year, we'd expect to see the beginnings of that and rather than wait for a full 12 months. We'll start -- we hope and plan to begin our buyback at that moment.  We'll keep it at the historical level, call it as much as $5 billion ramp up to that and probably stay there until we actually get to the definition that you called out on a 12 month trailing basis to get to around or just inside 2.5 times. And I expect that to happen by the end of 2022.
Marci Ryvicker: Thank you, Phil. Regina, next question, please. 
Operator: Your next question comes from the line of Craig Moffett with Moffettnathanson. Please go ahead.
Craig Moffett : Yes, hi, two questions, if I could. First, Brian, you talked a little bit about how pleased you are with Flex. We certainly get more questions about it from our clients now than had been the case with a lot of enthusiasm for what Flex could become. So, wonder if you could just expand on Flex a little bit and talk about what your hopes and expectations are for Flex? And could you grow that into a national product that is widely distributed or even a global product that's widely distributed as an aggregator platform?  And then with respect to wireless, I wonder if you could just update us on your thinking about the CBRS spectrum now that we're out of the CBRS quiet period and what you might do now with the amount of small cells for traffic offload, whether you're testing that in any markets or how much traffic you expect you might be able to offload from the MVNO agreement?
Brian Roberts : Dave, why don't you take the second one first about wireless and CBRS. I don't know if there's anything to add at this moment, but and if you want to feel free to talk about that? 
Dave Watson: Well, Craig, we have…
Brian Roberts :  And if you want to start on Flex, that's fine and I can follow you so, we can do both.
Dave Watson: Okay, yes, well, let me touch on the first one then and go into CBRS. But going Flex, starting Craig with their current strategy just a little bit, that we package it with broadband, another great way of surrounding broadband with products that drive better retention outcomes. And that it's working, it's working very well. So, we target it to the streaming segment and give the customer great experience with excellent voice and all the apps, so tons of apps will have just about everything.  Pleased with the Peacock performance for sure. All the other apps that we've launched, including HBO Max and soon to be later on this quarter, Disney. I think today it is more targeted. But as you mentioned, I really do think the next phase that we're working on and developing for and turning our innovation focus is that this is a long-term platform opportunity for us.  And aspect of the company that we have called XUMO, that I think you all know that's one piece of being able to drive, helped drive advertising. We can participate and revenue in the app split's that we get. And so, we think of this with scale. And as you build a common software stack that includes Sky, do it together, which we're already working on, and then you have opportunities which we've talked about going to smart TVs, but really leveraging unique scale internationally that we can have, whether it's a device or whether it's a software solution.  But I think these are the things that we'll look at. Right now, it's working great within footprint, but we're building our plans beyond that. 
Brian Roberts : Hang on for sec, let me just add to that then that the whole articulation of the company's strategy with broadband and aggregation and streaming, I think is embodied inside flex. So, Peacock's success very much partially due to the early success to what Flex can do for Broadband customers. And we're seeing other programmers are approaching us with their content and seeing with both the X1 platform and the Peacock platform and this Flex platform can do for them.  So, that's led us to looking at what Dave was just talking about, what are other opportunities that are in -- that can be taken advantage of this scale and this platform and the ability to bundle things that way? And I think we'll have more to talk about throughout the year. Same sort of answer on the wireless question.  I think what we're set up for future opportunities with some of the investments we've made and some of our early success. So, I share your client’s enthusiasm, I think the product is going to continue to improve. We'll have some more updates on that as we go along. But I'm very encouraged as well. And I think the team that created Flex has done a great service for the company. Keep going, Dave. 
Dave Watson: I think the only other point on wireless and Brian and Craig would be, we are looking at and working on development plans around the targeted use of the CBRS spectrum in dense high usage areas and how we could offload traffic, how the experience be terrific in doing so? So, nothing more really to comment at this point. This is a multiyear effort, but a lot of focus is on it right now.
Craig Moffett : Thank you both. 
Marci Ryvicker: Thank you, Craig. Regina, next question please. 
Operator: Your next question comes from the line of Brett Feldman with Goldman Sachs. Please go ahead. 
Brett Feldman: Thanks. And if you don't mind, I'm actually just going to follow up on Phil's question. So Mike, when you were responding to his question on the buybacks, you talked about ramping back up towards the historical level of $5 billion a year until you get back to sort of that long-term leverage target of about 2.5 turns.  But if I think longer term, if you were to sort of remain at your historical buyback pace, you would probably continue to de-lever and I think actually quite rapidly. Historically, you've tended to redeploy that excess liquidity into your strategic M&A program. And so, the question is, how do you think about the medium to long-term importance of preserving dry powder of that type of flexibility, versus whether your current asset portfolio is sufficiently well suited to meet your long-term operating targets? Thank you.
Mike Cavanagh : Sure, Brian can obviously chime in. But I think we feel very good about the collection of businesses that we have, how they fit together, how Sky is enabled together with Cable and NBC, things that are advances in the three pillars that Brian described, broadband, streaming and aggregation. So, I won't repeat too many of those proof points of what we are as a company.  But, we'll always look at M&A, but I don't think there's any doubt that we are very pleased and don't see any strategic gaps in the portfolio that we have. So, we'll talk about it when we get to the 2.5 times. But I wouldn't suggest that beyond that stage, we would just deliver. I mean, we get inside that number and from there, we'll have options and we'll discuss it with folks as we get there. But that's where we stand today. Brian, anything else you want to add? 
Brian Roberts : Yeah, I would just add two other things. I think it's an important moment for us today in getting to a point that we feel the businesses are healthy that we can see, we believe and we hope obviously things can change with progress, with the vaccinations and the impaired businesses really having a roadmap to full recovery and beyond.  And so, getting back in balance with as Mike described earlier, I think is really important something that I certainly really have wanted us to get to. Second, we've also said that we'd like to mix up businesses. Hopefully 70% of the company being broadband-centric is proved to be a really successful model.  And we've had 10 wonderful years of growth with NBCUniversal and last year was the only exception to that. So, we expect great growth in all our businesses but having a mix with the businesses can work together. But having majority of the company being broadband centric has worked really well for us.  So, I think it's a -- we are very pleased with the company we've got, we got a great scale, we've got momentum. That's where our focus at and the main priority was today to get to this announcement of our expectations, and then go ahead and hopefully, see the world go in the right direction here and continue on the path we're on and get to the execution of that later in this year. So important step today. 
Brett Feldman: Thank you. 
Marci Ryvicker: Thank you, Brett. Regina, we have time for one last question. 
Operator: Our final question will come from the line of John Hodulik with UBS. Please go ahead. 
John Hodulik: Great, thanks. Two quick ones, I think. Maybe first as follow-up for Jeff on Peacock. Can you give us a sense of what content is resonating and any color you have on engagement or ARPU or pay subs? And should we expect more spending on sports rights for the platform following up on the WWE deal? And then maybe for Brian, just thoughts upon how the regulatory backdrop will evolve? And is there any concern that net neutrality will emerge as a new policy goal? Thanks.
Brian Roberts : Jeff you want to go first?
Jeff Shell: Yeah, thanks Brian and John. So, it's obviously, let me start with the office. So the office, we have the office as of January 1st, we've had it now for almost a month, very pleased with how it's doing. Our usage among our customers are actually higher than we think the usage was amongst Netflix customers.  And more importantly what's happening is, we're seeing that people who are watching The Office on Peacock are watching lots of other comedies. So it’s really driving Parks Rec, and really driving Brooklyn 99 amongst others. So, there's kind of an ecosystem of that.  We've talked in previous quarters about how EPL has really worked for us, it was Premier League and how those viewers also came in and to our surprise a much greater percentage of them, then turn them watching other things like Yellowstone and or comedy. So, we believe, there's kind of an ecosystem here, like the whole world of broadcast where people will, we can cross promote people into different things. And that certainly seems to be working and The Office has really worked. WWE is kind of a perfect property for us, because it allows us to number one, thousands of hours of programming that were behind a paywall that will now put on the free service of Peacock, which will not only enhance the brand of WWE, but we can monetize an advertising. We get the events that were behind a paywall that used to be pay per view, can drive our 499 Premium version of Peacock. And then remember, we have a big investment in WWE at USA on our linear networks. And so, this kind of perfectly fits into our model of operating the business as a whole and cross promoting and selling advertising clients one platform, one solution, as Linda calls it. So, I think the model that we've constructed here to really kind of leverage our existing linear businesses and drive advertising is working, and I think comedy, sports, two of the success stories certainly so far.
Brian Roberts : Okay. And I know, we'll be having this conversation about the new administration government. So, let me just quickly say, I don't think there's anything new. We've managed successfully to work with different administrations, with different regulatory perspectives around the broadband business.  And -- but our view is obviously strongly felt that the long-standing light touch regulation has worked since President Clinton created that classification and reduces regulatory risk for investors and allowed the company to invest more and have paid dividends unbelievably well during COVID. And we were never asked to down raise any services. And content providers and consumers really benefited. And that wasn't universally the case around the globe, with different broadband regimes. But we do believe in the neutrality and how we're not going to discriminate, block, throttle and some of the other principles that we've committed to. And so, if there's a way to find a way to codify that and perhaps with this issue and a permanent more consistent place that's certainly a possibility.  I would like to just end the call by introducing Dana Strong just for a moment, who's taken over Sky just last couple weeks. Starting next call, Dana will be available to talk about Sky in great detail, but Dana didn't want this moment to pass without congratulating you, with this introducing you to the group here to say just a few words.
Dana Strong : Thanks so much, Brian. It's great to have the opportunity to say quick hello to everyone. Looking forward to talk again in future quarters as Brian mentioned. Maybe for now, let me just briefly say that having spent the past few weeks in the UK, I'm extremely confident about the exciting opportunities ahead for Sky.  When Brian called me, I knew this was an opportunity I couldn't pass up. Because I've always had great admiration for Sky having worked in Europe, as long as I have, Brian mentioned that before. Sometimes competing and partnering with Sky across those many years, I think I'm in the position to truly appreciate the unique market position that Sky holds in its iconic brands.  And I just have to say that Jeremy has built an incredible organization, an amazing breadth of assets and a fantastic team. And I couldn't be more excited about leading Sky in this next chapter. So Brian, look forward to talking more about it in future calls and back to you.
Brian Roberts : Thank you and Jeremy, thank you as well. And I know you'll be guiding us here through the rest of this year as well. But both of you are going to be a great team. That wraps it up for me, Marci, do you have anything else? 
Marci Ryvicker: I just like to thank everyone for joining us on our fourth quarter and full year 2022 earnings call. We hope you stay healthy and safe. 
Brian Roberts : Thanks everybody.
Operator: There will be a replay available of today's call starting at 12 o'clock PM Eastern Time. It will run through Thursday, February 4 at midnight Eastern Time. The dial in number is 855-859-2056 and the conference ID number is 7964167. A recording of the conference call will also be available on the company's website beginning at 12:30 PM Eastern time today. This concludes today's teleconference. Thank you for participating. You may all disconnect.